Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sherritt’s International Third Quarter 2011 Analyst and Investor Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question and answer session with instructions provided. If anyone has any difficulties hearing the conference, please press the star followed by the zero for operator assistance at any time. I would like to remind everyone that this conference is being recorded today, Wednesday, October 26, 2011 at 2 pm Easter Time. And I would now turn the conference over to Paula Myson, Managing Director for Investor Relations and External Communication. Please go ahead.
Paula Myson: Thank you and good afternoon, everyone. We issued two press releases this morning. One on our third quarter results and one announcing a debenture offering. Copies of these releases along with the third quarter MD&A and full financial statements are available on the website. In addition to the analysts and investors the financial press has been invited to listen to today’s call. A replay of the call will be available through a link on our website later today. Before we begin our comments I’d like to remind everyone that today’s press releases and certain of our comments on the call today will include forward-looking statements. We’d like to refer everyone to the cautionary language included in the press releases and to the risk factors described in our CEDAR filings. On the call today are Ian Delaney, Chairman and Chief Executive Officer, Dean Chambers, Chief Operator Officer, and David Pathe, Chief Financial Officer. After our remarks, we’ll open up the call for questions. So to begin I’ll turn the call over to Ian Delaney.
Ian Delaney: Thank you – thank you, Paula, and thank you to the folks on the phone for taking the time to join us today. I just point out at the start of the call that I am not in Toronto with my colleagues. I’m in one of our field operation and so as we hand this conversation off one to another, hopefully it will – it will be seamless. But in any event, let me – let me begin. A good quarter, predictably boring, good earnings, good operating conditions, the operations of the company all operating two expectations and within budgeted norms, all in all a very satisfactory quarter from an operational point of view and an earnings point of view. The big – the high level things the company is operating very well. We don’t have any extraordinary problems in any of our operations. The other high level – bit of a good news is we’ve made a tremendous progress at the Ambatovy project and we have now – few days ago handed – completed the construction. Everything has been turned over to commissioning teams or operating teams and many, many of the facilities are in fact ready to go, doesn’t in any way minimize the complexity of getting a facility up to full operating conditions but not something that we find terribly daunting, very good progress in Ambatovy. And then I suppose to be the third thing that should be mention is you may have seen a supplementary press release from us this morning saying that we’re refinancing some of the debt on our balance sheet and we have in the marketplace – we are not stay – a bond [ph] in financing to replace our maturities of next year. So, having said that, let me ask David Pathe to pick up the conversation. David is our Chief Financial Officer, and David will walk you through some of the financials, the conclusion of David’s remarks and David, Dean and I will standby for any questions you might have. So, David Pathe, please.
David Pathe: Okay. Thanks, Ian. I would just touch on a few highlights here probably before we get to the questions. As Ian said, a strong quarter really across all of our operating businesses, few headline numbers is as usual the ETP for the quarter was $0.16 per share. That’s more than double the $0.07 we have for the third quarter 2010 under IFRS. We have a very strong operating cash flow, 95.8 million well above Capital Expenditures If you exclude Ambatovy for the quarter of 36.8 and nearly double the cash flow we had in the second quarter of 2011. Impact in the balance sheet in the quarter overall was pretty minimal. So I have about 1.6 million debt – net debt of less than $1 billion after we’re taking off the – close to 600 million we have in cash equivalents on the short-term investments we have in the balance sheet. Total long-term debt to capital ratio is about 26% and if you eliminate the non-recourse debt from that, it’s actually only about 15% long-term debt to total assets or total capital. While we’re talking about debt, Ian touched on or announced the debenture offering that we set in motion this morning. The primary objective of that is to take out our 2012 debentures that are maturing in November of next year. Our objective there is really to be consistent with our continual plans to conservatively manage the balance sheet, (inaudible) the refinancing risk for 2012. We have to push out the maturity so that we – we’re successful here we want to have a scheduled maturity on our public debt until late 2014. We’ll have further announcement for you hopefully shortly in the coming days here on pricing incrimination and when we have an idea of how the – how the marketing efforts for the debenture offer go. Since the quarter, effects of the quarter itself, effective tax rates for the quarter was 26% or 29% for the first nine months of 2011. That’s all fairly consistent over the year. There is still increased volatility in our effective tax rate from quarter-to-quarter partly as a result of the transition to IFRS just depending on what jurisdictions income actually arises. But that kind of level I think is probably as good as the estimate for the balance over the year’s if any other at this point. I’ll just take a quick look at each of our business starting with end metals with the MoA joint venture. It’s a very strong quarter they’re in operation again, operation is performing well particularly the mine site in MoA which is still exceeding like capacity there in terms of mix sulfide production and offering very well. Total revenue in the MoA JD was affected a little by lower fertilizer sales as a result of a bit later season to fall. But overall a good quarter production wise. Cost side, we continue to see some of the pressures that we’ve seen over the course of 2011 so far. Sulfur prices have been increasing steadily over the year. And that was seen again in the third quarter although it does appear to be moderating a little bit now. Sulfur was up 20% from Q1 to Q2. It was up further 8% from Q2 to Q3. Acid pricing has leveled off this quarter after being up 13% Q1 to Q2. We’ve also seen a bit of a softening in cobalt prices both compared to Q2 ’11 and the third quarter of 2010 which is – affects the input credits on the – on the net direct cash cost that we’re still seeing a little upward pressure on our net direct cash cost as a result of the increased prices. And the lower cobalt credits, net direct cash costs were up by $0.20 on the quarter to just under $4.5 amount. Ian touched on the highlights of the Ambatovy projects as previously announced, there are a number of facilities that are already up and running at the mine site. The pipelines, some of the board facilities, the bulk handling materials are all running well. We’ve had good progress on the power plant this past quarter with two or three units now up and running and producing steady power. Other commissioning activities continue. There’s still plenty of challenges to be overcome, but overall we are very pleased with progress. Taking a look at coal, this is a better quarter this quarter after last after getting through some of the extreme weather conditions that we’ve experienced in ferry operations and some of the equipment problems we’re having in the mountainside. Third quarter in the ferry side was spent doubling up some of the inventories again that were reduced during the flooding. Production was still off a little bit compared to the third quarter of 2010 as a result of those two units at high valve [ph] being taken off production by the – by the customer there. Some of that now is being offset by the (inaudible) unit which is now ramping up. And so we’re expecting to see some of that. Production has come back as well from where the flooding was. So production is not back to where it was in Q3 of 2010, but it’s up significantly over Q2 2011. And we’ve seen a commensurate reduction in the unit operating cost there as a result. Mountain operations continue to see strong in pricing on the export side. And so we’re still realizing prices worth of $100 on our export coal which makes a pretty good margins there. Production did improve at Coal Valley in the quarter as a result of getting some new equipment in there. Overall production from mountain didn’t change very much because of there’s kind of an offsetting reduction in production at the Obed mine, which was primarily as result of moving into a new pit there and that hit the production for the quarter was really anticipated and within budget. We’re expecting to see both of those operating back pretty close to full capacity in the 4th Quarter. Oil and gas – oil business continues to operate very well. A good margin is to be made – cost is remaining low. I think it’s still under $13 dollars a barrel. We’re still producing over 20,000 barrels a day there. And pricing just continued strong. So, it’s still a good time to be in the oil and gas business in Cuba. Power – year over year, we continue to see the effects of the decline of production, stemming largely from gas supply issues. Operating costs are up year-over-year but we see an improvement from the business spike we had in Q2 and we’re looking for them to come down a little further in Q3. There’s reference in there to the turbine that failed in Q2 being scheduled to come back on in Q4. We actually got word last night that that turbine is now operational again. And we have increased the guidance there a little bit based on gas availability being a little better than expected. Probably not back to what it was last year but I think our guidance for the year is up a little bit. Looking at other changes to the guidance, there isn’t any significant changes. We have adjusted our projections for production in the metal business a little bit based on overall the strong performance of those operations for the first nine months of this year. Capital spending has been revised down marginally in a couple of places. That’s largely just to the fact of timing of some expenditures. Overall, no dramatic changes in production. We’re pleased with the way the business is operating and we’re looking for that to continue through Q4. That’s all I really wanted to touch on. I got Luke – I think, we’ll pass it back to you and take any questions people may have.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question and answer session. (Operator instructions). Your first question comes from the line of Matt Murphy of UBS Securities. Please, go ahead.
Matt Murphy – UBS Securities Canada Inc.: Hi. I’m just wondering on the Ambatovy conditioning process. How does it work with respect to bringing the auto clay up? Is there any scenario where you’ll be producing first metal before you get them all up and running and you kind of take them up sequentially?
Ian Delany: To be determined – I’m going to get Dean to give a more fulsome answer but the really – the initial first parts of course are heating, pressurizing, and watching the chemical reactions. And we do, do that sequentially. Dean, do you want to give any – more fulsome explanation on how you’re going to commission those?
Dean Chambers: Sure. Yes, Matt, it will be in sequences. As Ian said, we’re right now in the plant product consequence on the first auto clay – heating it up and getting ready to provide (inaudible) to it for the next coming days. And we will start up – each auto clays are sequenced from there as things go along. It is likely that we will be producing first metal or certainly possible that we’re producing first metal before all auto clays are running.
Matt Murphy – UBS Securities Canada Inc.: Okay. And we’re just wondering – slightly more obscure question. I noticed that the environmental rehabilitation provision jumped to about 40 million. It looked like the footnotes that are – you re-assess soil contamination and discount rates. I’m just wondering how often you look at those items and you know how that discount rate works. Is there a chance that down the road, it gets moved back up?
Ian Delany: David, do you want to deal with that please?
David Pathe: Sure. There was an adjustment made to our year-old obligations at the (inaudible) sight. It relates to some testing that was done there and is done from time to time. It has also affected the discussions between us and other predecessors and other companies that were on the same site. It’s a – there’s ongoing monitoring there and whenever there’s any indication that there maybe changes required, it requires us to go back and take a look at what our provisions are. And to make sure that when we have to do that – from time to time that was done in each quarter we have to be comfortable that the provisions we have in the financial statements are correct or at least are good estimates. The number there still remains an estimate and will be subject to further adjustment in the years to come because the ultimate rumination is still years away. The adjustment that was made this quarter was just based onto that being our best guess today, what the liability is.
Matt Murphy – UBS Securities Canada: And on the discount rate front, is that just a function of what kind of market you know, returns you see overtime?
David Pathe: Yes, Matt, I think it is. Right. We can get you more detail on that. But my understanding is the discount rate is just based on what a prevailing rate is based on prevailing interest rate environment at the time.
Matt Murphy – UBS Securities Canada: Okay. And then just lastly, I saw you had a note on the proposed coal-carbon dioxide emission standards. Down the road, I think this is something that affects things sort of in the long-term picture not in the near-term picture. Can you just provide a bit more color on that?
David Pathe: Yes, I can do that. The note refers to some draft regulations that were introduced by the federal government a few weeks ago. It’s still early days in that process is a common period underway now that I think many industry participants are taking advantage of the opportunity to put comments on that. So, we’ll see what the ultimate regulations look like. It does have the potential impact with some years down the road. There could be some shortening of life of some of the generating facilities there compared to what made them previously accepted. But we’re not expecting any immediate impact of that in the foreseeable future. And we think there’ll be more to come in terms of seeing what those rigs ultimately look like. And in the meantime, it’s still 56% [ph] or two-thirds in the base load in Alberta and Saskatchewan. It depends on the coal generation there. So, I don’t think there’s a big risk that that’s going to change in the near term.
Matt Murphy – UBS Securities Canada: Got you. Thank you.
Operator: (Operator instructions) Your next question comes from the line of John Hughes of Desjardins Securities. Please go ahead.
John Hughes – Desjardins Securities Inc.: Thanks, Operator. Just two quick ones; one on the power plant, from the two power plants, (inaudible) battery that are operating now, are they coal-fired as well? In other words, like you’re starting up the third but the first two that are producing power today, are they both coal-fired as well?
Ian Delaney: It’s Ian Delaney. We have three units there which are coal-fired units. We have a diesel standby unit. Of the three units that are coal-fired, at any given time, we only need two for our facility purposes. Dean, you want to give a more fulsome explanation?
Dean Chambers: Well, I think there is. We do have three coal-fired units and three steam turbines driven by those units. And we’ve been operating for the last several weeks with two of those boilers and two of the steam turbines operated, but they’re all the main power plant is all coal-fired boilers.
John Hughes – Desjardins Securities Inc.: Great. Thank you. We’ve certainly seen at least overbuilt on that power front relative to your needs. The last question is more with regards to the government in Madagascar. We seem to be in a real transitional phase now with the interim government having resigned, and I think that was just a short-time ago. But are we looking to see a new government in place before the end of November? Because I’m hearing there’s a new premier by the beginning in November and then a new government as early as sort of the third week of November. And I’m just wondering, can you sort of provide some flavor on this political change that’s taking place?
Ian Delaney: Well, this is Ian Delaney and I will get Dean on the ground there to give you more explanation. But the government has been in the state of flex for a couple of years now. It’s very peaceful kind of thing that goes on. We don’t expect any inimical in this. For our operations, we do have good relationships with – at the operating level with people. Dean, would you like to supplement that?
Dean Chambers: Sure. I think the point that the government has resigned is really just sort of a step in the process. The president has not changed. It is still Rasha Lina [ph]. And they’re starting to follow a roadmap that has been agreed by many of the parties, one of the steps in that roadmap was for the prime minister to resign and all the ministers to resign. And then Rasha Lina [ph], as President, would reappoint individuals to all those positions. So, that’s really what’s going on. But this is a step in a roadmap that ultimately would lead to elections. But there really isn’t a change of government. The HET and Rasha Lina [ph] are still in power as we live up to those elections. And I think we continue to have a good relationship at an operating level of government officials. And this is not having any real impact in our project.
John Hughes – Desjardins Securities Inc.: Okay. So, this roadmap that you’re referencing here quarterly ultimately gets a new government in place in November and some time. But still, more presentation and substance, I suppose.
Dean Chambers: Yes, it’s a number of steps ultimately leading to elections. And this was not unaccepted because we do this was the step in the roadmap.
John Hughes – Desjardins Securities Inc.: Right. So, the elections would be a next-year event?
Dean Chambers: Yes, that’s the plan. I mean, these elections have to be recognized by the international community, and that’s one of the key steps. And there are also rules during the rainy season, et cetera, et cetera. So, the exact timing of the election is still not clear. But I would expect to see some next year.
John Hughes – Desjardins Securities Inc.: Great. That helps. Thanks, Dean. Sorry. One last quick one on your debenture or your senior note issue, anyway. Should we be looking like the price out of seven year candidates? Hello?
Dean Chambers: Yes, we’re with you.
John Hughes – Desjardins Securities Inc.: Oh, sorry. Sort of refinancing 7.9% debentures in terms of the cost. Are we looking at sort of 5% to 6%, 7% kind of rate on your new debt? And I know you won’t finalize that until maybe at the end of the week.
Dean Chambers: It’ll be similar to the existing rate.
John Hughes – Desjardins Securities Inc.: It will? That’s great. Thank you very much indeed.
Operator: And your next question comes from the line of Terry Ortslan of TSO & Associates. Please go ahead.
Terry Ortslan – TSO & Associates: Actually, John asked all the questions that I had. Thanks, John.
Operator: Mr. Delaney, there are no further questions at this time. Please continue.
Ian Delaney: Well, if there are no further questions, thank you. We’re continuing to face approach to our company in one existing operations. I’m taking along at the very acceptable level and the professional level the way that’s being done and to keep on backing me up and learning as quickly as we can. We have seen great progress in the last couple of months in Ambatovy and we’re looking forward to continuing that trend. So, thank you very much for being with us this afternoon. Paula?
Paula Myson: Everyone, we’re available, if you have any further questions. Thank you for joining us today and have a great afternoon.